Operator: Good morning, and welcome to Otter Tail Corporation's 2020 Earnings Conference Call. Today's call is being recorded and we will hold a question-and-answer session, after the prepared remarks. I will now turn the call over to the company for their opening comments.
Loren Hanson: Good morning, everyone, and welcome to our call. My name is Loren Hanson, and I manage Otter Tail's Investor Relations area. Last night, we announced our 2020 earnings results and our 2021 earnings per share guidance range. Our complete earnings release and slides accompanying this call are available on our website at ottertail.com. A recording of the call will be available on our website later today. With me on the call today are Chuck MacFarlane, Otter Tail Corporation's President and CEO; and Kevin Moug, Otter Tail Corporation's Senior Vice President and Chief Financial Officer. Before we begin, I want to remind you that we will be making forward-looking statements during this call. As noted on Slide 2, these statements represent our current judgment or opinion of what the future holds. They are subject to certain risks and uncertainties that may cause actual results to differ materially. So please be advised about placing undue reliance on any of these statements. Our forward-looking statements are described in more detail in our filings with the Securities and Exchange Commission, which we encourage you to review. Otter Tail Corporation disclaims any duty to update or revise our forward-looking statements due to new information, future events, developments or otherwise. For opening remarks, I will now turn the call over to Otter Tail Corporation's President and CEO, Mr. Chuck MacFarlane.
Chuck MacFarlane: Thank you, Loren, and good morning, everyone. Welcome to our 2020 year-end earnings call. Looking back on 2020, it was a year of both unprecedented challenges and unique opportunities. Our core values of integrity, safety, people, performance and community continue to guide the way we do business and allow us to remain focused on executing our growth strategies, despite the economic turmoil of the global pandemic. Otter Tail Corporation continues to support all the locations we serve with collective efforts to mitigate the spread of COVID-19. Our business continuity plans put the health and safety of our employees and our communities at the forefront and are designed to help ensure continued electric reliability and operational excellence across our companies. We remain diligent in our precautionary health and safety efforts based on the recommendations from the CDC, regional health organizations and state and local government orders. Currently 16% of our employees continue to work remotely. We continue to monitor this dynamic event and how it is impacting the economy and our electric and manufacturing platforms. Please refer to Slide 6, as I begin my comment on last year's results. Through combined efforts, we achieved earnings per share of $2.34, which is an increase of 7.8% over 2019. These results were primarily driven by increasing investments in energy generation and regional transmission projects in our Electric segment. And a record year in our Plastics segment driven by strong construction markets coupled with favorable market conditions due to supply constraints and rising prices. Our Manufacturing segment earnings decreased primarily due to negative impact on sales from COVID-19, especially at BTD in Q2. However, BTD experienced a rebound in sales of the recreational vehicle and lawn and garden end markets in the second half of 2020, as major OEMs rebuilt depleted inventories created by the pandemic. And our corporate costs were higher primarily due to an increased contribution to Otter Tail Corporation's charitable foundation. Now let me share some of our major accomplishments from last year. Throughout the pandemic, Otter Tail Power delivered on our role as an essential service provider. We closely manage and monitor workforce availability to ensure reliable electric service, when it was needed most. We also suspended disconnects for late payments and waived late payment fees for residential and small business customers negatively impacted by the pandemic. As shown on Slide 12, we focused our -- we filed our Minnesota general rate case on November 2nd. Our last Minnesota rate review was filed in 2016. Investment in cleaner energy generation is the primary driver for this request, as we seek to get the Astoria Station placed in our base rates in Minnesota. This project was approved in our most recent IRP and has been earning AFUDC during the construction period. And our new customer information system, which focuses on enhancing the customer experience, by allowing customers more access and options to -- related to their energy use and services was also a driver for this request. In December, the Commission approved our interim request to begin recovering $6.9 million, or a 3.2% increase beginning in January of 2021, as it considers our overall request to increase revenues $14.5 million or 6.7 7%. We anticipate a decision in late 2021 or early 2022, even with this increase Otter Tail Power will continue to have some of the lowest rates in the country. Otter Tail Power continues to grow through capital investments in generation, transmission and technology projects. As shown on Slide 13, our rate base is expected to grow by an annual rate of 5% between 2020 and 2025 in a constructive regulatory environment, and will be a key driver for future earnings growth. We will be filing our next Minnesota integrated resource plan in September of 2021. This plan will identify the most cost effective combinations of resources to reliably meet customers' needs during the next 15 years. While this filing is required only in Minnesota, we develop a strategy for our integrated system and file a plan with North Dakota and South Dakota regulatory commissions. As required by the Minnesota PUC, the plan will provide additional insight on the company's expected path forward with Coyote Station relative to Regional Haze compliance. Our last integrated resource plan was filed in June of 2016 and approved in April for 2017. We expect the updated IRP to favorably impact our long-term rate base growth. On Slide 16, Merricourt Wind Energy Center concluded construction and began commercial operation at the end of December. The facility generates enough energy to power more than 65,000 homes at a cost of $260 million it is the largest capital project in company history. On Slide 17, Astoria Station construction is substantially complete and we are in the final stages of testing, which is expected to be complete in the first quarter of 2021. This $152.5 million investment complements our wind generation by providing a reliable backstop when the wind is not blowing and it has flexible operating options and low emissions. Astoria Station provides 245 megawatts of dispatchable capacity compared to Hoot Lake Plants 140 megawatts. And this project is projected to have 85% less carbon emissions compared to Hoot Lake Plants historic levels. On Slide 18, Otter Tail Power announced in September, the $60 million Hoot Lake solar project. This is a 49 megawatt project, we plan to build on previously owned and newly purchased land around Hoot Lake Plant in Fergus Falls, Minnesota. The project will generate enough energy to power approximately 10,000 homes. This project offers us a unique opportunity to reuse our existing Hoot Lake transmission interconnection, along with substation and plant land after retiring the Hoot Lake Coal Plant later this year. Once the project is complete, up to 35% of our customers energy will come from renewable resources. As shown on Slide 19, we are enhancing our transmission infrastructure by investing approximately $35 million to improve reliability and increased capacity for customers in the southern portion of our service area. Phase I of this II Phase project is complete and we expect Phase II to be in service in 2021. The contractors on site and sterling [ph] conductor, we have approximately 40 of 43 total miles of structures set. Slide 20, outlines an opportunity to grow rate base and increase earnings. Self-fund is an election by the MISO transmission owner, in this case Otter Tail Power, to fund the initial network upgrades associated with new generator interconnections and recover the investment from the interconnection customer through a monthly revenue requirement over 20 years. The company has secured 28 of 33 facility service agreements and 100% of the construction has been completed. We continue to monitor the progress of the Federal Regional Haze Rule process in North Dakota. The North Dakota Department of Environmental Quality, DEQ, and the State of North Dakota have additional milestones to reach before the state submits its implementation plan to the Environmental Protection Agency. Coyote Station owners continue to analyze the data and decisions that will impact the plant and our employees, customers and communities. We'll know more this year when the DEQ begins the public comment period regarding its recommendation on Coyote Station's compliance strategy. The State of North Dakota is expected to submit its state implementation plan to the EPA in July of 2021. Each of the Coyote Station owners is uniquely positioned to serve its stakeholders today and in the future. Our shared priorities are to continue serving customers with reliable low cost electricity. I'd like to give special recognition to Otter Tail Power employees, who continue to put safety first, achieving a record safety performance for the second year in a row. BTD, our contract metal fabricator had revenues declined due to a drop off in end market demand primarily in the second quarter due to widespread temporary customer plant shutdowns caused by the pandemic. The management team of BTD effectively manage costs and inventory to help mitigate the impact COVID-19 had on sales. Customer orders improved in the second half of 2020 with some end markets exceeding pre-pandemic levels. BTD continues to have excellent safety, quality and on-time delivery. Our Plastics segment performed extremely well in 2020 and benefited from a tight pipe market resulting from major pipe converters reduced production in the second quarter of 2020, while the residential new home construction market remains strong. Two resin suppliers invoke force majeure, which limited availability of resin -- PVC resin supplies. Additionally concerns over hurricanes positively impacted PVC sales prices and increased global demand for PVC resin. Looking ahead, we continue to enhance our balanced electric generation mix. We anticipate by 2022, Otter Tail Power customers will receive over 30% of their energy from renewable resources and our carbon emissions will be at least 40% below 2005 levels, all while keeping average residential rates well below the national average. With growing concern, investor concern about companies generating more than 25% of revenues from thermal coal, it's assuring to note Otter Tail Corporation's percentage of revenue from coal assets is significantly below that threshold. The percentage of consolidated revenues from our coal assets was 12% in 2020. We continue to be innovative as we modernize our energy grids, enhance customers' experiences and work toward a cleaner energy future. I'll now turn it over to Kevin for the financial perspective.
Kevin Moug: Thanks, Chuck, and good morning, everyone. 2020 was an outstanding year for us. In light of the challenges we experienced due to the pandemic, our earnings per share of $2.34 was a 7.8% increase over 2019. This increase was driven by our Electric segment supported in large part by our continued investments in our growing rate base. This is impressive when considering that 2020 was impacted by unfavorable weather and the significant negative impact of COVID on commercial and industrial sales and increased bad debt expense. Our Plastics segment had an exceptional year with net earnings increasing 34%. And our Manufacturing segment earnings were down year-over-year, primarily due to the impacts from COVID-19, especially at BTD. Customers implemented temporary plant shutdowns during the second quarter, while attempting [ph] to understand how COVID-19 is going to impact their respective businesses. And our 2020 return on equity was 11.6% on an equity ratio of 51%. Our two platform strategy continues to deliver strong returns on equity. Please refer to Slides 27 and 28, as I provide an overview of 2020 earnings by segment. Electric segment net earnings increased $7.7 million. Key drivers include increased Minnesota and North Dakota renewable resource rider revenues related to the Merricourt Wind Energy Center project while it was under construction and from the generation cost recovery rider in North Dakota in conjunction with the construction of the Astoria Station. Increased revenues due to a positive price variance from sales under very tariffs. Increased Minnesota CIP revenues and an increase in transmission cost recovery revenues. 3These increased revenues were offset in part by unfavorable weather of $0.08 a share in 2020 compared to 2019. Lower kilowatt-hour sales to commercial and industrial customers mainly due to COVID-19 related impacts that affected the last nine months of 2020. Other items favorably impacting Electric segment earnings were increased transmission service revenues from the recovery of infrastructure investment costs and interconnected generators. Decreased operating and maintenance expenses due to lower contracted services in material and supply expense related to the extended planned outages at Coyote and Hoot Lake in 2019 with no comparable expense in 2020. Lower transmission tariff expenses related to decreased rates. And there was a decrease in other expenses due to cost management initiatives to address the impacts of COVID-19. These decreases were offset in part by an increase in bad debt expense, mainly due to adoption of COVID-19-related service suspensions and debt collection policies; $1 million increase in contributions to Otter Tail Powers charitable foundation; higher CIP expenditures and increased labor and employee benefit costs. Other impacts to Electric earnings include higher depreciation and property tax expense due to our recent capital additions, higher interest expense due to new long-term debt issuances and income taxes were favorably impacted mainly due to production tax credits earned on Merricourt, as it became commercially operational in the fourth quarter of 2020. Net earnings for the Manufacturing segment decreased $1.8 million year-over-year driven by lower revenues of $37.3 million at BTD, due to a decline in material prices in 2020 compared with 2019 and a drop in sales volumes mostly due to customers implementing temporary plant shutdowns in the second quarter in response to the COVID-19 pandemic. These items were partially offset by an increase in revenues due to a change in product mix, exclusive of the pass through of material price reduction and reduce cost of goods sold resulting from lower material costs and lower sales volumes along with lower operating and depreciation expense. And at T.O. Plastics, net earnings were lower primarily due to $1.1 million decline in revenues. Our Plastics segment earnings increased $7 million year-over-year, higher sales volumes and higher pipe sales prices resulted from improved market conditions during the second half of the year driven by strong construction markets and concerns over raw material supply and product availability. In our corporate costs, net of tax increased $3.8 million due to a $2.5 million contribution to Otter Tail Corporation's charitable foundation, in 2021, with a $1.5 million increase in labor and employee benefit expenses. Moving to Slide 29, our 2020 financing activity consisted of the following items. We issued the remaining tranche of $75 million of senior unsecured notes under a delayed-draw from the $175 million private placement notes issued in October of 2019. We issued approximately $50 million of common equity in 2020. This along with the equity issuance in the fourth quarter of 2019, successfully completed the amount of equity we had planned to issue in our financing plans. Both the debt and equity raised were in connection with our rate base growth projects at the utility. And we currently -- we do not currently expect to have any additional equity needs in our financing plans over the 2021 through 2025 timeframe. Our two credit agreements are in place until October 31 at 2024, between expected cash flow generated from 2021 operating activities in these credit facilities, we have the appropriate levels of liquidity to support our businesses. As shown on Slide 31, the Board of Directors increased our indicated annualized dividend rate from $1.48 per share to $1.56 a share. This 5.4% increase reflects our strong 2020 performance and our 2021 outlook. The company's strong balance sheet, liquidity, cash generation profile and our commitment to enhancing shareholder returns. We expect future dividend increases to be in line with earnings growth, while maintaining a targeted payout ratio of 60% to 70%. This will be the 82nd year that we have paid dividends on our common stock. Slide 32, highlights our capital expenditure plans for the 2021 through 2025 timeframe. We expect capital expenditures for 2021 to be $133 million of which 85% is earmarked for our Electric segment. Planned expenditures for this year include investments in renewable generation, technology and infrastructure. The five-year capital expenditure plan calls for approximately $653 million in utility projects of which approximately 35% will be recovered through riders. The plan also includes $109 million for our Manufacturing and Plastics segments. Our 2021 business outlook on Slide 34, is predicated and the continued deployment of vaccine is being ramped up across the country. And the assumption new strains of COVID-19 do not cause the pandemic to get out of control and cause more shutdowns across the country. Our 2021 diluted earnings per share guidance is $2.39 to $2.54. The midpoint of this guidance range reflects a 5.6% growth of our 2020 diluted earnings per share of $2.34. This guidance equates to a return on equity range of 11.1% to 11.8% based on an estimated equity to total cap ratio of 51%. We expect our Electric segment to provide approximately 74% of our consolidated earnings in 2021 with an increase over 2020 segment net income based on Merricourt and Astoria projects being commercially operational and our rate base being reflective of the total capital spend on these investments. Merricourt has rider recovery mechanisms in all three of our jurisdictions. The Astoria Station has rider recovery mechanisms in South Dakota and North Dakota. This project, which has been earning AFUDC in Minnesota, will now be recovered through a rate case in Minnesota and has already been approved in our integrated resource plan. We expect increased revenues related to $22 million in anticipated capital spending for self-funded generator interconnection agreements, a successful outcome of our Minnesota rate case filed in November of 2020. The Minnesota Public Utility Commission approved an interim rate increase of $6.9 million or 3.2%. This approval was provided after we submitted an alternative recovery proposal, which among other changes requested the extension of depreciable lives of certain wind-related assets and deferred cost recovery decisions to the final rate decision. In the aggregate this alternative recovery proposal reduced operating costs and delayed recovery of certain other costs by approximately $7 million to lessen the interim rate impact on customers. 2021 is planned for normal weather and there are no planned contributions to the Otter Tail Power foundation in 2021. The above items are partially offset by increased operating and maintenance expense related to the planned outage that our Big Stone Plant as well as having Merricourt and Astoria fully operational in 2021. There will be increased expenses in large part due to higher pension expense. Our discount rate for 2021 is 2.78% compared to 3.47% last year. Each 25-basis point decline in the discount rate results in an increase of pension expense by approximately $1.2 million. Also our long-term rate of return for 2021 is 6.51% compared to 6.88% last year. Each 25-basis point decline in this rate results in approximately an $800,000 increase in pension expense. There will be higher depreciation and property tax expense due to the large capital projects being put into service and increased interest costs associated with a full year of interest expense on the $75 million of debt financing that we completed in 2020. We expect earnings from our Manufacturing segment to increase 12.3% due to an expected increase in sales at BTD driven mostly by improving end markets as our customers continue to rebuild inventories to fill the shortages created by the pandemic. Scrap revenues are expected to be improved based on anticipated improvement in scrap metal prices. And we expect higher earnings with T.O. Plastics, mainly due to increased sales to horticultural and life science end markets. In our backlog for the Manufacturing segment is approximately $204 million for 2021 compared with $179 million one year ago. Our Plastics segment net income for 2021 is expected to be lower than 2020. An increase in pipe sales prices is expected to be offset by a decrease in the pounds of pipe sold. Resin suppliers have also announced price increases in the first quarter of 2021 that are based on strong market conditions such as tight supply of resin and strong export markets that have higher resin prices than the domestic market. We expect this to reduce our operating margins in 2021. Also there is no planned contribution to Otter Tail Corporation's Foundation from this segment for 2021. In our corporate costs, net of tax are expected to be lower than 2020, primarily due to lower employee benefit and health care costs and no planned contributions to Otter Tail Corporation's Foundation. Our strategic objective is to grow our business and achieve operational excellence, positions us to achieve a 5% to 7% compounded annual growth rate in earnings per share using 2020's $2.34 a share. Key drivers in achieving our 2021 guidance for the utility include, but our capital spend on Merricourt and Astoria projects will be fully reflected in our rate base, the successful outcome of our Minnesota rate case. For BTD, key drivers will be continued recovery in their end markets from the pandemic as our customers look to have full plant capacity to rebuild low inventory levels. Also the continued utilization of existing capacity and operational improvements across all locations to further improve our return on sales margins and invested capital. We continue to monitor the current pricing in the steel market as prices have risen to approximately $1,100 a ton, which are being driven by strong demand and limited supply. This could produce some headwinds for domestic manufacturers, but the current belief is steel prices have peaked and will start to subside throughout the year as steel inventory is expected to increase over the next several months. Our Plastics segment is again well positioned to provide another strong year in earnings and continues to provide outstanding returns on invested capital and strong cash flows to support our common dividend. Over time, the electric utility will deliver reliable performance along with rate base investment opportunities over the next five years to allow for growing revenues, earnings and cash flows. The Electric business is expected to contribute approximately 75% of our overall earnings. Manufacturing and Plastics segment will also provide organic growth over the long term. These two segments are expected to provide around 25% of our earnings over time. We expect to deliver total shareholder return of 8% to 10% over the long-term consisting of our expected 5% to 7% compounded annual growth rate in earnings per share and our current dividend yield. Looking forward, we would expect to grow the dividend along with earnings per share and maintain a dividend payout ratio between 60% and 70%. Our business model, whether it all the adversity of the COVID-19 pandemic well, and as we move into 2021, we are positioned with our strong balance sheet, ample liquidity to support our businesses and strong investment-grade corporate credit ratings. We are now ready to take your questions.
Operator: Thank you, sir. [Operator Instructions] Your first question will come from the line of Sophie Karp from KeyBanc Capital Markets. Your line is now live. Go ahead, please.
Sophie Karp: Hi. Good morning, guys and congrats on the solid results, despite the pandemic disruptions. Just -- yes, couple of questions, if I may. I wanted to hear you maybe comment on the weather impacts that we're seeing across the country right now? And how your territories are positioned in this regard? And what do you think is the -- maybe the need that of the greed specifically in your territory that you might be looking into addressing in the future, if this impact gets out of control?
Chuck MacFarlane: All right. I'll take that, this is Chuck, Sophie. Thanks for the question. Otter Tail Power is a member of the MISO market. You've heard a lot about ERCOT in Texas and there are issues with capacity, icing, natural gas supply. And then we do border the SPP market, but we are a MISO market participant, we are on the western edge of that. Through the recent cold weather, we have approximately 800 megawatts to 850 megawatts of load in the similar amount of generation that is bid and cleared into the day ahead market. And while the MISO market prices have been escalated during this cold weather, where we have generation resources that are approximately equal to our load. So our exposure to market prices is very limited, it's -- it arises if we have load forecasting issues between the day and the real-time pricing, or if we have generation issues in that timeframe. So from our generation and I don't -- can't speak for all the regional resources, but all of our resources, coal plants are running. We have had at times 10% of our wind resources that are offline due to temperature over the last three days, but those do come back in the -- depending on the model and the age or manufacturer, these wind facilities do go offline somewhere between 20 and 30 below and we have reached that at some times during the last three days. So -- and would be -- any follow-up questions would be welcome also.
Sophie Karp: Yes, thank you. Very helpful. So you don't see any generation shortages at this time on your system that's basically at the bottom line?
Chuck MacFarlane: Yes. The MISO market is different than SPP, which is getting a lot of the attention. We are bordering that. And there is no question that the MISO market prices are elevated over normal. But as long as you have generation resources that are bit in equal to or above your load, you are effectively covered for those prices and it drops back to essentially your marginal cost or your fuel cost on those resources. So to date we are in a good position there.
Sophie Karp: Got it. Thank you. And then my second question was about the CapEx. It looks like you may be shifted some CapEx from 2021 to 2022, if you could comment a little bit on that? Maybe is that driven by just the timing of projects, or COVID situation kind of what drives that?
Chuck MacFarlane: Sure. I think there's been a slight change in our timing with the Hoot Lake Solar project. And so that, in total the project is not changed, but there is some movement between 2021 and 2022, start anticipating a little later construction start on that project.
Sophie Karp: Got it. Thank you. That's all I had. I will jump back into the queue.
Chuck MacFarlane: Thank you.
Operator: Thank you, ma'am. Your next question will come from the line of Brian Russo from Sidoti. Your line is now live. Go ahead, please.
Brian Russo: Hi, good morning.
Chuck MacFarlane: Hi, Brian.
Brian Russo: Are there any other assumptions you could provide us for BTD like sales growth in 2021 versus 2020?
Kevin Moug: Hang on, Brian.
Chuck MacFarlane: Kevin is looking through his papers here.
Brian Russo: And then along those lines, several of the larger companies in BTDs end markets, in recreational vehicle and agriculture, actually have been forecasting fairly bullish outlooks for 2021. And I'm just curious is the guidance that you laid out today, it could approve conservative, if the trends that we've been seeing in this fourth quarter continue through all of 2021?
Kevin Moug: Hey, Brian, this is Kevin. I think that's a fair statement. I mean there is -- we're seeing some pretty robust activity as you referred to in the fourth quarter. And as we head into the first part of 2021, there is certainly some headwinds here. Like I mentioned in my script notes about the steel prices, we are seeing some concerns over that, but we think that, that will subside back. I think right now as we look at our guidance there is some concerns that we could start to see a pullback in the last half of 2021, that's reflected here. And to the extent that this activity refer to continuously [ph] robust through the rest of the year. I think there is upside.
Brian Russo: Okay, great. And then any sales growth assumption?
Kevin Moug: Yes. I think, you know our sales growth assumption is -- now it was -- based on steel prices at the time, but we're probably in that 5% to 7% sales growth assumption for the year.
Brian Russo: Okay, great. And then just to clarify on the steel price headwinds that might be alleviated. That steel is a -- there is a raw material cost pass-through for BTD. So just how the rising steel prices could impact the end markets?
Kevin Moug: Great.
Brian Russo: Yes.
Kevin Moug: Yes. I mean there is certainly risk for example with these high steel prices that some customers in the end markets it could cause them to perhaps not build certain types of inventory because the price points to the end consumer could be too high. So…
Brian Russo: Okay. Got it.
Kevin Moug: Depending on how this will -- how long it will to go would certainly cause some of that to be a risk as we head into the year.
Brian Russo: Okay. And you mentioned depleted inventories in some of your end markets that's driving some of the growth in 2021. Have you experienced any supply chain issues or bottlenecks on your side of the business?
Kevin Moug: No, Brian, we're really haven't. We -- obviously there is some concerns right now with the steel limited supply and the steel market, but we have not seen -- we didn't have any road supply constraints in 2020 and we've been able to successfully get our steel supply here as we head into 2021, but we're certainly paying attention to what's going on in the steel market.
Brian Russo: Okay. And then just to Plastics outlook that you've for 2021, get that if could as a normalized type of operating environment for Plastics or -- are there are still several variables at play, which could make it higher than normal or less than normalized I guess from a margin perspective?
Kevin Moug: Yes, Brian, as we look at that $0.52 to $0.56 per share that we've guided for 2021. As we look back over the last say five years or so, that would be kind of in that normal range of earnings we would expect. And obviously there will be as we go through the year there's always -- risk and upside to margins depending on what's happening with the dynamics in -- the resin and the PVC sales prices. But we would look to say this is -- from your question, yes, this is in a more normal range of earnings we would expect.
Brian Russo: Okay, great. And just…
Kevin Moug: As we go through the year based on market conditions and as they're changing, we would love to potentially update the guidance based on any new changes that have occurred in the markets.
Brian Russo: Okay, great. And then just lastly on the Electric segment. You mentioned various initiatives that would be enhancing to your rate base CAGR. I'm just curious you were previously growing at over 8%. Obviously, Merricourt was a big driver than some of the other generation resources. But if you're sure -- if you're still growing [ph] 5% to 7% EPS CAGR, and you're regulated rate base is growing at 5%; you know, how you get [ph] EPS to the upper part of that range? Do you need incremental CapEx that could be identified in this upcoming -- sort of IRP?
Chuck MacFarlane: Yes, Brian, this is Chuck, and thanks for the question. If you look back at our last five years of CapEx, it's largely tied to sort of a first-round of MISO transmission and Otter Tail's 2017 IRP. We believe that there will be additional regional transmission projects that impact OTP, in that our IRP that is going to be filed in 2021 here in September. We'll have the potential to increase the rate base growth. We normally don't include projects in our capital -- five-year capital forecast until they're at a minimum identified in an IRP or identified by MISO. And so the IRP is under development. It's going to be impacted by the North Dakota Regional Haze plan, any potential change in renewable tax incentives or extensions, renewable energy or clean energy legislation, natural gas prices, market prices and then the timing of this MISO plan. So, we just -- we normally don't put the projects and until we've put them in an IRP, and that's going to occur in September.
Brian Russo: Okay. So just to follow up on that. So when you look at the five-year CapEx, really the upside probably in 2024 and 2025, just given the timing of when projects are approved or when needed. So how to you look at it?
Chuck MacFarlane: Yes, I would look, the later years on -- to get a project approval -- identification plans project approval is more weighted towards the out years.
Brian Russo: Great. Thanks a lot.
Operator: Thank you, sir. Your next question will come from the line of Tate Sullivan from Maxim Group. Sir, your line is now live. Go ahead, please.
Tate Sullivan: Hi sir, thank you. Hi Kevin, just starting with the balance sheet. Can you review it, so that your comments on, I mean you don't foresee additional equity needs? And then just related to the current maturities of long-term debt about $140 million, is that just timing related to the maturity of one of your credit facilities or can you talk a little about that, please?
Kevin Moug: Yes. I mean as it relates to the $140 million, Brian [ph], as you know that comes due in December. We expect that will start -- we've had some initial discussions with some of our investment banks on what the markets look like we would expect to as our past practice to do a private placement of debt to replace that refinance that amount and we would expect -- probably we'll be starting here sometime in the late first quarter or early second quarter.
Tate Sullivan: Okay. Thank you. And then just a follow-up on beat -- on the Manufacturing segment too. I think historically you've mentioned a margin target of around 5%, is that still one of your internal targets for that business, because that change --?
Kevin Moug: Yes. You're referring to the return on sales margin that continue to look to drive the business collectively, the segment to that return.
Tate Sullivan: To the -- around 5% until that still the case.
Kevin Moug: Yes. 5% remotely up.
Tate Sullivan: Okay, great. Thanks.
Kevin Moug: And then -- hey, Tate, did you have a question on the equity piece to that, I didn't answer.
Tate Sullivan: Oh, just clear -- you indicated earlier that you've done your -- you do not anticipate additional equity needs through 25. That clear.
Kevin Moug: Yes. Right, in this current five-year CapEx plan, I mean we feel good. We successfully completed our equity needs that we had come out a couple of three years ago and said we needed that $70 million to $75 million of equity. We wrap that up here in December. And as we look at this five-year -- current five-year plan, there's no need for any equity. Of course, to the extent that, the integrated resource plan that we referred to Chuck's comments, follow on Brian's question, if there were significant capital investments coming out of that towards the end of this five-year period that could potentially change, but as we stand today no plans.
Tate Sullivan: Okay, thank you both. Have a good day.
Kevin Moug: Thanks, Tate.
Operator: Thank you, sir. [Operator Instructions] As I'm seeing no further questions from the phone line, I would like to turn the call over back to Mr. Chuck MacFarlane for closing remarks.
Chuck MacFarlane: Thank you for your questions and your interest in Otter Tail Corporation. Our exceptionally strong 2020 financial results reflect the collective efforts of the people of Otter Tail Corporation. Despite the ongoing challenges presented by the pandemic, we remain focused on our strategic initiatives to grow our businesses, achieve operational and commercial excellence and develop our people to continue to provide value to shareholders and to position us for long-term success. In 2021, we will focus on executing and expanding our rate base growth opportunities at the utility, continue to improve profitability at BTD and further refine long-term growth strategies for Northern Pipe, Vinyltech, and T.O. Plastics. We believe this will allow us to deliver on our 2021 earnings per share guidance range of $2.39 to $2.54. Thank you for joining our call. We appreciate your interest in Otter Tail Corporation. And we look forward to speaking with you next quarter.
Operator: Thank you, sir. Thank you so much presenters. And again, I thank you everyone for participating. This concludes today's conference. You may now disconnect. Stay safe and have a lovely day.